Sung Hun Yu: Good afternoon, everyone. I am Yu Sung Hun and I’m in charge of IR. I would like to thank all of you for participating in the Q4 earnings conference call. We will now begin the Q4 earnings report. Today we have here with us Vice President, Kim Hyung-Jin, who is in-charge of Strategy; CFO, Min Jung-Kee; Managing Director, Chang Dong-ki [ph] who is in-charge of Finance. We will first open up the conference call with the presentation from our CFO, and he will be going over the 2013 earnings results of Shinhan Financial Group. And after the presentation, we will be taking questions. I will hand the microphone over to CFO, Min. He will be going over the earnings results.
Min Jung-Kee: Good afternoon. I am Min Jung-Kee, the CFO of Shinhan Financial Group. First of all, I would like to extend my gratitude to the investors, analysts and journalists, in and out of Korea, for listening in to the 2013 Shinhan Financial Group earnings release. I will now cover the main highlights of Shinhan Financial Group’s 2013 earnings. Let me first elaborate on the Group’s income on Page 6. Shinhan Financial Group’s 2013 yearly net income recorded KBW1,902.8 billion and Q4 quarterly net income recorded KBW343.3 billion. 2013 was an year of continued uncertainty in the financial environment, and Shinhan strived to minimize the Group’s earnings contraction through measures including credit risk management, strengthening and cost cutting. Shinhan despite the overall factors pushing down the earnings including card fee cut, insurance industry accounting change and market interest rate drop, was able to suppress the interest income downward trend through low-cost deposit growth and net interest margin stabilization through appropriate loan growth that did not curtailed the margin, and was able to manage the overall costs at an appropriate level by the fall in the annual credit cost and improvement of SG&A efficiency, and ultimately was able to make efforts so that the recurring earnings level could be strongly maintained. On the growth side, bank loans grew 2%. And taking into the account the Korea Housing Finance Corporation mortgage loan securitization amount, there is a strong growth trend of 3.8%. Shinhan Group will focus on margin stabilization, credit cost improvement, cost efficiency management and asset quality base qualitative growth and continuously maintain the trend of stably improving the earnings generating fundamentals this year. Regarding the P&L, the Group’s interest income was impacted by the policy and market interest rate fall, and quarterly group NIM went down 19 bp Y-o-Y falling 5.4% Y-o-Y, but the Group NIM went up 7 bp Q-o-Q and interest income improved 2.7%. Even if the interest income one-off factors in Q4 including recovery of delinquent interest are taken into consideration, Shinhan Bank’s net interest margin is been maintained at the Q3 level and the slowdown in the margin squeeze is being continued. In the non-interest income side, there was a 10.2% decrease year-on-year and there was an overall fee income for all this year caused by some factors including Bank Fund and Bancassurance sales commissions decrease and Credit Card merchant fee decrease. Life Insurance earnings also went down due to the low interest rate and accounting change. Q-o-Q there was a 47.8% drop in non-interest income because of one-off factors including the Bank’s loan sale gains in Q3 did not occur in Q4, and Credit Card gains on security sales have decreased and the Bank security impairment losses took place. SG&A, thanks to the Group’s cost cutting efforts compared to the previous year showed a low growth trend of 3.5%. Credit cost went down 10.5% year-on-year because despite the provisioning to our company subject to restructuring, overall credit cost for loan assets decreased. The Group’s credit cost ratio is at yearly 59 bp level, which went down 8 bp compared to last year’s 67 bp. Q-o-Q credit costs went up 51.6% with Ssangyong Company’s credit of KBW104.6 billion being recognized in Q4. Next Page 7. Group subsidiaries income. Taken into consideration the early contribution of the bank and non-bank, net income respectively recorded KBW1,387.1 billion and KBW861.9 billion, and the non-bank profit contribution recorded 38.3%, a slight increase year-on-year. Page 8 Group subsidiary income in 2013. Shinhan Bank income due to the interest income fall went down 17.4% and non-bank income also went down 16%. Non-bank income decrease was caused by the Card merchant fee cut and the Life Insurance income declined due to the accounting change and decrease in net interest income. Shinhan Financial Investment and Capital’s income recovered and their income increased Y-o-Y. Q-o-Q on the bank side, due to the drop in non-interest income and increase in one-off loan loss provisions went down 27.5% Q-o-Q. Non-banking side with accordance to securities recognition of ERP cost decrease of Card securities, gain from sales, Shinhan Investment’s one-off credit cost factors and Life Insurance’s securities impairment losses went down 30.9% Q-o-Q. Next Page 9. Shinhan Bank performance. Bank’s 2013 net income with the interest income decline following the yearly NIM drop and the non-interest income contraction following the fee-income decrease despite the cost stabilization went down 17.4% year-on-year. In the interest income side, the yearly NIM went down 23 bp Y-o-Y to 1.76% level, and the interest income was down 8.8%. Q-o-Q with the one-off interest income including recovery of delinquent interest, the quarterly NIM recovered to 1.79%, a 6 bp rise and interest income rose 2.9%. If the base interest rate is stably maintained this year, we expect the NIM to be maintained at the previous year’s level, and we will do our best so that the interest income could be recovered through appropriate growth and funding cost management. Non-interest income compared to the previous year went down 7.2% Y-o-Y because of the decreased fee-income. And the with the securities impairment loss in Q4 and the removal of gains from loans sales in Q3, went down 54.2% Q-o-Q. As mentioned previously, SG&A went down 1% Y-o-Y through the lower general administrative costs through cost efficiency efforts made throughout the year. Quarterly SG&A went up 1.7% Q-o-Q due to the recognition of ERP costs and the seasonal general administrative cost increase in Q4. Regarding the Bank’s credit cost with the continued corporate restructuring from 2009 and recognition of provisioning for vulnerable industries and the appropriate growth based on credit risk, the overall credit costs showed a stabilization trend and went down 11.3% Y-o-Y. Next Page 10. Shinhan Bank’s non-interest income and SG&A. Regarding Shinhan Bank’s 2013 yearly non-interest income, there was a 9.3% increase in securities related gains including gains from sales of available-for-sale securities, but with the 10.4% drop in fee income with the decrease in Fund and Bancassurance sales commission leading to a 7.2% drop year-on-year in non-interest income. Compared to the previous quarter in Q4, there was a KBW90.9 billion one-off securities impairment losses and removal of KBW41.3 billion one-off gains from sale of loans leading to 54.2% decrease in non-interest income. Regarding Shinhan Bank’s SG&A, KBW55.8 billion of ERP-related costs was recognized in Q4 leading to a slight Y-o-Y increase of one-off costs, but with the cost cutting efforts made throughout the year, ordinary administrative costs went down 2.1% and SG&A went down 1% year-on-year. In Q4, the Bank’s CI ratio recorded overall income decrease in Q4, but SG&A increase leading to 0.8% increase Q-o-Q standing at 52.3%. Page 11. Shinhan Card P&L. Shinhan Card’s 2013 net income recorded KBW658.1 billion, a 11.3% drop Y-o-Y, but the income drop was less steep compared to the 18% decrease in the Group’s total income. With the merchant fee cut, fee income went down and with the ERP cost and increase of advertising and promotional costs, SG&A went up 14% year-on-year. And with the decrease of gains from collection of written-off assets and increase of write-off amount, credit costs went up 19.4%. Also with the decrease in interest expenses following the funding interest rate drop, efficient management of marketing costs and realization of gains from securities sales, net income squeeze was minimized. Q4 net income following the increase in SG&A, following the ERP and decrease of gains from securities went down 23.1% Q-o-Q. In the case of written-off assets that year-end balance in 2013 sit at KBW5.4 trillion and the yearly recovery rate is at 4.7% level maintaining a stable trend. Let’s now move onto Page 13 to look at the Group’s assets. As of end of 2013, Shinhan Financial Group’s total asset rose 1.3% Y-o-Y to KBW371 trillion. The banking side of the business saw its assets decline due to Shinhan Bank’s asset decrease of 0.9%, while non-banking side witnessed asset increase of 6.1% on the back of continued rise of managed assets of Shinhan Investment Corp as well as growth of operating assets of Shinhan Life Insurance. Shinhan Bank loans in Korean won recorded KBW147 trillion, 2% growth Y-o-Y. Retail loans grew 2.9% Y-o-Y, as non-mortgage loans such as credit and jeonse [ph] or key money loans increased by 14.3%. The overall corporate loans grew 1%. Loans to SMEs grew 7.3%, thanks to 11% increase in SOHO loan. However, there was large drop in loans to large corporates due to repayment of some of the PF loans and year-end repayment of short-term borrowings. During 2013, when including KBW2.7 trillion of KHFC mortgage loans securitization, actual retail loan growth for the year comes to 6.7%, and total loans in Korean won grew to 3.8% representing appropriate level of growth for the year. In 2014 reflecting higher loan demand in light of economic recovery, we plan to maintain appropriate level of loan growth by centering on prime retail loans as well as loans to SMEs that are not subject to external audits and whose businesses are focused on the domestic market. In fiscal year 2013, Shinhan Bank’s deposits in Korean won grew to 2.1% Y-o-Y to a KBW150.5 trillion. CS [ph] deposits were lower by 2.4%, while low-cost deposits were on a steady annual incline of 11.9%, thanks to efforts by the Bank to acquire more accounts for seller, transfer and merchant payments. Public institutions and corporates enjoying expanded liquidity also contributed to increase in low-cost deposits. LDR at the year-end stood at 98.5% showing a stable level. On Page 15 are the details on the Shinhan Card’s transaction and funding activities. Operating assets of Shinhan Card dropped 2% Y-o-Y to KBW19.6 trillion at the end of 2013. Despite the overall credit transaction volume increase, credit sealed assets dropped by 5.2%. Interest-free installment services with relatively long-maturity declined, while lump-sum payment and debit card transactions increased. Cash advances reflecting continued market decline dropped 14.4% year-on-year, but card loans were up 21.9%, thanks to targeted marketing based on credit risks. For 2014, the plan is to ensure appropriate level of asset growth, focusing on credit sales and selective card loans. Now on the asset quality on Page 17. At the end of 2013, the Group’s NPL ratio was 1.26%, 0.08 percentage point drop Y-o-Y, 0.27 percentage points drop Q-o-Q showing the most stable level since the end of 2011. This has been made possible, but continued a prudent management of NPLs and also by write-offs and disposition of KBW2,262.5 billion worth of NPLs. The Group’s NPL coverage ratio is 163%, up 19 percentage points Q-o-Q allowing loan loss provisioning to be maintained at a healthy level. Page 18. Shinhan Bank’s NPL ratio at the end of 2013 recorded 1.16%, a slight increase of 0.08 percentage point Y-o-Y. However, given the downgrading of some of precautionary and below credit that our subject to the individual DCF [ph] approach in Q2, the NPL ratio is still being kept at a stable level. In Q4, there was KBW790.6 billion sell-offs and write-offs. NPL declined 16.5% Q-o-Q and NPL ratio also was lowered by 0.23 percentage points. The quality of the assets overall is on a trend of improvement with NPL coverage ratio posting higher Q-o-Q at 149%. If you look at the chart on the lower left hand corner, showing the delinquency rate of Shinhan Bank, you can see that the Bank’s delinquency rate has stabled at 39%, declined 0.22 percentage points from 0.61% from the end of last year. For your information sale of delinquent large collective loans helped to improve retail delinquency rate to 0.24%. Page 19. Thanks you yearlong management of the asset quality and bad debt disposition write-offs, Shinhan Card’s NPL ratio decreased 0.62 percentage point Y-o-Y to 1.53%. The NPL coverage ratio rose 69 percentage point Y-o-Y to 323%. Despite the decrease to loan loss allowance sales to National Happiness Fund and write-offs and disposition of delinquent loans helped to decrease NPL by more than 30%, resulting in large increase in NPL coverage ratio. Delinquency rate at the end of 2013 decreased 0.55 percentage point Y-o-Y to 1.8%, once again posting below 2% since the end of 2010, and representing healthy improvement in asset quality. Credit Cost and NPL write-offs are elaborated on Page 20. As shown on the left upper graph, credit cost ratio of the Group for the year, dropped from 0.67% to 0.59% from the previous year and stabilized at the below 0.6%. As for the Bank, there was decrease of recurring credit costs while the write-back of credit costs increased. And Shinhan Card’s credit costs have also been stabilizing since the second half of 2013. Credit costs of the Bank are expected to continue on the improvement track as number of companies to be restructured declined and more appropriate loans increased. Additional lowering of credit costs as a result may be expected. Credit costs for Shinhan Card has stabilized since the second half of 2013. And in 2014, it is forecasted that they would slightly increase from the current level due to lower gains from the corporate bad debts. Annual bad debt sales and write-off by Shinhan Bank and Shinhan Card were KBW1.568 trillion and KBW694.5 billion respective, each increasing KBW222.5 billion and KBW199.6 billion Y-o-Y. Next is capital adequacy described on Page 22. Since the end of 2013, capital adequacy of the Group and the Bank has been calculated based on Basel III criteria. BIS ratio of the Group and the Bank at the end of 2013 are expected to be 13.6% and 16.6% respectively. The numbers are expected to be higher than when calculated on Basel I or Basel II criteria basis. Basel III Common Equity Tier-1 ratios are expected to be at 10.2% and 12.7% respectively and Tier-1 ratios are to be 11.5% and 14.2% respectively. Shinhan Card’s adjusted equity capital ratio recorded 30.4% maintaining a sound capital adequacy level. And for your information, Group BIS ratio reflects expected dividend payout on KBW651 per common share. Page 23 and onward are additional earnings related information on the other subsidiaries, major management indicators and Shinhan Bank’s loans to SMEs. This concludes the report on business performance of Shinhan Financial Group for the year 2013. Thank you.
Sung Hun Yu: Thank you very much, and now we will be receiving questions. (Operator Instructions) For your reference today’s earnings release materials can be accessed via mobile phone IR applications including, for the tablet PC. Android app users can download IR app after searching for Shinhan Finance IR or SFG IR keywords. Apple iOS users can go to m.shinhangroup.co.kr and download the IR app. Please use them at your convenience. Let’s take the first question.
Operator: First question comes from Franklin Templeton. And he is Managing Director, Jung Moo Il. Please Mr. Jung.
Moo Il Jung – Franklin Templeton: Can you hear me?
Sung Hun Yu: Yes.
Moo Il Jung – Franklin Templeton: Thank you. First of all, congratulations on your great earnings. And I am asking two questions related to the strategy of Shinhan. The first question is about Shinhan Financial Group’s focus for this year. And this year, I know that the financial environment is deteriorating, but in 2014 as you are well aware, recovery and cooperation. Recovery is expected be on the rise and there are some negative views for financial groups. So many investors are curious about the future strategy of Shinhan. Are there any special strategies that Shinhan Financial Group is focusing on? My second question refers to overseas global banks. And in those banks, they have net capital growth, and I believe that this is ample time for Korean banks to also grow. So are there any strategies or plans for you to go to overseas markets and be international? Thank you.
Min Jung-Kee: I am Kim Hyung-Jin, VP in-charge of strategy. Thank you very much for your questions. As you have mentioned for this year, we see many risks, but also opportunities. Last year, there were many uncertainties in the financial market, but we were able to guard our income and through new strategies, we were able to focus on differentiated managements. We were able to have appropriate growth and guard our margin, and we were able to also safeguard the NIM. And we were able to stabilize the credit cost of the Group. In 2014, we are seeing the new normal environment which seems to be persistent. And seeing the future economic recovery, we are trying to have risk management at the appropriate timing. And this year our slogan is new thoughts new thought. So that is our new slogan. And our focus areas are as follows. We will have differentiated growth. With the economy recovery and with the pickup in the domestic demand, we are going to focus on the credit card sales increase as well as other areas. Along with this, we will have appropriate growth of the Group, and we will have better funding, so that we could guard the margin and focus on the NIM. And we are going to have preemptive asset quality protection, so that we are going to have credit cost at 50 bp level. So we will have preemptive management of the credit costs. Regarding the low interest rate and low growth and the aging society that we are witnessing, we need to come up with creative products and services. And through new ways of lending, we are going to have measures to improve the customer value. And Shinhan’s corporate value will be improved, and the shareholders and the social values will be improved. So there will be a virtuous cycle, so that compassionate finance with us for the new future.
Unidentified Company Representative: And I will be elaborating on the global strategy from now on. Shinhan along with the bank securities and investment, as a management, we have 71 global network branches, organizations. And we believe that we need to be more international, because we are in the low interest rate era, and we need to aim for the new markets with higher growth potential. And we need to differentiate our income sources. And in 2014, we’re going to focus more on localization in other markets, international markets. So they will be our focus in our overseas plans. And we are going to have more strong local presence of Shinhan in the overseas area that in particular, we are going to have pioneering of new markets, Middle East, Brazil and Africa. There will be some areas that we haven’t entered into, that we will be focusing on. So we’re going to prioritize them and we are correlating [ph] different ways to do this. Also, the banking industry is regulated in the emerging markets, so it is true that some business opportunities are limited. Accordingly, we are going to also consider going into non-banking side. And we are going to have more encouragement of the non-banking side in the emerging countries. And in Indonesia and Vietnam, we have already entered into these markets, but we are going to have a stronger presence locally. So we are going to expand the global profit bases. And in the mid to long-term, we’re going to do our best so that net income contribution can go from 4.6% in 2013 to about 10% going forward. Risk management needs to be done. Also we need to think about the business sense, but we are going to do our best to make opportunities abroad come into reality. Thank you.
Operator: We would now take the next question. Mr. Kim Jinsang of SC Securities would be asking the question.
Jinsang Kim – Standard Chartered Securities: Good afternoon. Thank you very much for your presentation. I have two questions. First question is this. In Q4 of last year, there was seasonality, and one-off factors. So besides those – if you exclude those, so what would be the recurring income level? And for next year, what are your forecasts? What are your targets for 2014? That’s my first question. And my second question is this. Collective loans. You are selling or writing back collecting loans, I think there were some cases of those. So for the collective loans, I think there is a possibility of more hazards, but do you think that they will continue to be in normalization, related to on the collective loans. And I think the real estate market is being more stable. And so what are your expected risks related to the collective credit and the household risks?
Min Jung-Kee: In Q4, as for the one-off factors, let me explain about that first. At a recurring level, the quarterly net income, it was about between KBW490 billion to KBW500 billion, which is very similar to the level in Q3. And what’s important is this. This recurring income – and what kind of trend does that show. I think that’s what’s really important at this point in Q4, despite the seasonality our recurring level, we were able to have the income level between KBW490 billion and KBW500 billion. And in Q4, there were some special effects or special re-factors. Related to non-interest income, we had intended loss because of the sales of equity, so with the shares. And this impairment loss, the total amount was about KBW90.9 billion related to Ssangyong Construction, it was about KBW34 billion and related to credit recovery fund, it was about KBW29.8 billion, and related to our shipping company, Beihai [ph] Shipbuilding, there was about KBW27.1 billion impairment loss. And as you have mentioned about the write-backs or the reversals. Well, related to [indiscernible], there was a PF loan that was out. And there was a write-back of the provisioning that was about KBW81.2 billion. So in 2014, there would not be that many write-backs or reversals in 2014. And the reasons are this. The first, related to real estate PF – in our collective loans related to real estate PF, the losses or the provisioning that have occurred related to that. And if we exclude the [indiscernible], they were not that large. So that is the first reason. And the second reason is this. Well, provisioning – well, we feel other provisions related to this, but there are not that many provisions. And in 2014, related to collective loan related – the write-backs, we do not expect that to be too large.
Operator: Next question from Dongbu Securities, Lee Byung-gun, Team Leader. Mr. Lee.
Lee Byung-gun – Dongbu Securities: Yes, great to be hear. I am Lee Byung-gun from Dongbu Securities. I have two questions. First, regarding the Credit Card. Well, they did really well, and despite the incidents in the market, you were not involved. And I think that indirectly it will contribute to your brand name value. However, thinking from the opposite side, you have done so well in sales and operations. And in the case of Shinhan Life Insurance, your PF proportion is quite large. And on the whole, it seems that your TM sales operation stoppage will have some impact. And after the sales restriction has been lifted, I know that it may have some impact. So can you tell us about what kind of impact it will have, the sales restrictions as a whole? And secondly, yesterday, I think from last weekend what people have been talking about is that the government has a new economic growth plan, and too bad household debt. There are two types of loans and they are going to have it going from 30% to 40%, the fixed rate and non-fixed rate. And they said that they will actually have this earlier than planned. So in this case, I know that you will be impacted as well. I know that in the past with the conformity loans when they were being sold, the situation is a bit different, but how much do you think will sell? And through the issuing of covered bond, the long-term funding, fixed interest rates, type of these loans on a longer maturity basis, how much do you think you can sell?
Unidentified Company Representative: First of all, in the case of Shinhan Life Insurance and Shinhan Card, regarding TM operations or sales. Well, the restrictions on our sales have been – will soon be enacted, and I know that there will be some impact. And in the case of Shinhan Credit Card, their sales strategy is to have – to not have the teams issuing the cards directly. So I think that these types of sales and the restrictions will not impact our sales or the income. In the case of Shinhan Life Insurance, we believe that we will have some impact, but as you are well aware in the case of Shinhan Life Insurance TM and DMs and other e-channels are leading to stable growth. So it is true that we may be impacted, but to a slight degree. However from last year, from a strategic side, currently Shinhan Life Insurance’s vulnerability or the weak side can be the type of long-term insurance products. The protection type of products have been actually revised our plan. So it seems that this year we will not be impacted severely, and we are currently reviewing this, but it seems that we will not – our P&L will not be impacted that much, the Credit Card version of life insurance because of these restrictions. That is our current review. Regarding the second question, about household loan maturity or prolongation and the fixed rate loans repayment. Well, the proportion going up to 40%. The government’s policy – well, that has existed in the past as well. Basically – well, it seems that it is to protect the customers and not to have more risks by the bank. So I know that the focus is more on the customers. Of course the customers need to be protected, but the banks also need to think about risk management for asset growth. In 2013, you have heard from us that in our earnings in the case of Shinhan Bank, household loans – the mortgage loans have gone down, so the portfolio have gone down. So the credit loans, you can see that has gone up, but for our mortgage loans. So for the longer term maturity loans, well there is securitization. And recently the FSS is encouraging covenant bond issuance so that the maturity mismatch can be resolved. And I think that can work. So Shinhan Bank also will be interested in those two areas. And in the case of covered bond, the FSS, I know is actively going to support in creating a market for covered bonds. Thank you.
Operator: We’ll take the next question. The next question comes from Mr. Watanabe Yoshinari of Prudential Investment.
Watanabe Yoshinari – Prudential Investment: Thank you very much. My question is related to the BIS ratio. BIS ratio is based on Basel III. So it’s quite difficult to make the comparison. So for our reference, if you have – if you’ve done the calculation based on the previous standards, what would be the BIS ratio for the Group? So if you could share that number with us?
Min Jung-Kee: Well, it’s not going to be easy for us to give you very accurate numbers. Well, Basel II and Basel III. Well, I think that there would be an increase in terms of assets. As for the high-risk assets and the market risk, well there would be some increase. And also there will be some changes in terms of capital. And the biggest change is related to is the capital adjusted or the Tier-2 would be including Tier-1. So that would bring about some changes. In the past, it was Tier-2, something that was acknowledged at 45%, but all of that is going to be now acknowledged as Tier-1. So that will contribute to the increase of BIS ratio. But I think it should be less than 1%, but we may have to do further calculation to provide you with more accurate numbers. Whilst we do the calculation based on the previous standards, BIS ratio as well as the Tier-2 ratio, we’ll do the calculation and provide those numbers to you at a later date.
Sung Hun Yu: It seems that no other questions are coming in, and we will wait until the next question is coming in. There are no other calls on the line. And thank you very much for taking part in the 2013 earnings release of Shinhan Financial Group. We will conclude the earnings report. Thank you very much.